Barbara Seidlová: Hello, everyone, and welcome at CEZ Group Financial Results Conference Call for 9 months of 2025. It's my pleasure to welcome Martin Novak, Chief Financial Officer; and Ludek Horn, the Head of Trading, who will be going through the presentation and be available for the questions. I'm now handing over to Martin to start the presentation.
Martin Novák: Thank you . Good afternoon, good morning. So I will quickly go through our presentation, and then we can jump to Q&A session. So if you look at Slide 3, our total financial results, our EBITDA is about 3% higher than in the same period of last year. We achieved CZK 103.2 billion. Our net income is 7% lower, CZK 21.5 billion and adjusted net income that is a base for paying dividend is CZK 22.2 billion. Our net operating cash flow is down by 40%. This is mainly due to very strong net operating cash flow in 2024 when we were still receiving back some cash from margining from previous years. And then we had 11% higher CapEx spending that reached CZK 38.7 billion. Important slide on Slide #4, you can actually see main causes of year-over-year change in EBITDA. 3% or CZK 2.9 billion, as I already said. We have a few negative effects and a few positive effects. The negative effect is actually the strong -- by far, the strongest -- it's actually a decline in power prices. Our average achieved price for 2025 is estimated at EUR 121 to EUR 124 per megawatt hour versus something above EUR 130 in 2024. So this effect of kind of EUR 10 per megawatt hour causes CZK 10.5 billion decline on generation facilities. Another negative effect is actually lower generation volumes of hydro plants due to mild winter and not enough snow in 2025. On the other hand, positive is actually impact of fuel cycle extension and the increased capacity at the Dukovany nuclear power plant, which is CZK 3.5 billion positive and other effects, mainly higher fixed expenses of CZK 200 million. Trading activities are down by CZK 3 billion. We have low prop trading margins by CZK 2.6 billion compared to previous period. And that's -- those are actually negative effects in trading and generating. Mining is somewhat down as well due to lower coal sales volumes and lower price of coal. Positive is actually coming from 3 main factors. One is actually just distribution, meaning power distribution, which is helping us with CZK 4.6 billion. We have higher allowed revenue, thanks to growing investments in distribution assets in the past, which is CZK 2.1 billion. Then we have so-called correction factors, CZK 1.3 billion, both from 2 years before, meaning 2023 and also something that we will be handing over back in 2027, but positive effect on 2025 is CZK 1.3 billion. GasNet, important acquisition of 2024. GasNet is a Czech distribution of gas, natural gas which we actually started to consolidate as of September 1, 2024, meaning it was not in our numbers for 8 months in 2024, only the 9th month. And actually, in 2025, it is in our numbers as a full year. So that's why there is such a huge variance of CZK 7.4 billion. Sales segment is also doing better, CZK 4.3 billion improvement, mainly due to lower cost of commodity acquisition, impact of sales of undelivered commodity of CEZ Prodej when they actually had to sell some undelivered commodity in 2024 at a lower price compared to current year when they delivered it to end customers. And also proceeds from litigation with the Railway Administration that actually brought us last year CZK 1.3 billion. It didn't this year. So overall sales segment improvement is CZK 4.3 billion, and it gets us to CZK 103.2 billion. Year-on-year change in net income. By far, the most important change is actually in the depreciation and amortization line. You can see pretty significant increase in depreciation and amortization. It has a few reasons. One of them is actually consolidating GasNet that we did not consolidate last year almost at all, and it is CZK 6.7 billion higher depreciation. We also started to depreciate or accelerate depreciation of our lignite assets that are being depreciated much faster in 2025, '26 and of course, slower towards the end of 2030, basically coping hours of production, which is an allotment under accounting, IFRS accounting when you can see the end of the asset and uneven power generation. We started this type of depreciation as of October 1, 2024. So this accelerated depreciation is not in a comparable period of '24 at all because now we are comparing only 9 months. So the difference is actually net difference of CZK 5.6 billion of accelerated depreciation on coal assets. Those are the main variations. Then, of course, we have higher interest income expenses, mainly due to actually lower interest received as the interest rates go down and deposits that we have are -- bear lower interest than in the past. And that's basically it. There is lower income tax due to lower pretax profit. And finally, we get to net income of CZK 21.5 billion and CZK 22.2 billion is adjusted net income. On the next slide, you can see volumetric data, which I will skip. And we'll go to Slide 7, which is the financial outlook. We are keeping our EBITDA outlook at CZK 132 billion to CZK 137 billion. We are narrowing actually the range of our estimate for adjusted net income that was CZK 26 billion to CZK 30 billion. Now it is CZK 26 billion to CZK 28 billion. We are coming closer to the end of the year, so we are able to narrow down this range. You can see selected assumptions on power prices and carbon credits and also on the level of windfall tax, which is now estimated at CZK 31 billion to CZK 34 billion. Important milestone in our acquisition -- the territory of acquisitions, we acquired gas distribution operator on the south of the country. This is the -- it's called gas distribution, and it's actually dark green color on the chart. So now we control entire area of the Czech Republic gas distribution with the exception of Capital City of Prague that is controlled by municipal company. So this was an important add-on to our assets. We acquired actually gas distribution through GasNet. So we are not 100% owners. It makes sense to do that through the entity that already owns vast majority of gas distribution in the country. The transaction should be closed during the first quarter after all the antimonopoly decisions are made and approvals are received. It's relatively smaller compared to what we actually already own. EBITDA is about CZK 800 million, net income about CZK 100 million, no debt. So a very interesting company into our portfolio. Now let's switch to Generation Mining segment. It's important to see actually how our Generation and Mining did. I already made a few comments on that on the EBITDA slide at the beginning of the presentation. It's important to note that actually, as I said, power prices despite some positives like, for example, operating -- positive operating effects on Temelin power plant, mainly fuel cycle extensions and so on are still not high enough to beat the decline in power prices. So decline in power prices on our zero emission generating facilities on nuclear facilities is about 3% or declining EBITDA, which is mainly caused by declining power prices. On renewables, it's more significant is 26% down mainly due to insufficient water conditions in 2025, the beginning of this year. Emission generating facilities generated, as you will see later on, almost the same and will generate almost the same amount of electricity. However, EBITDA is down by 61% or CZK 6 billion, mainly due to, again, decline in power prices and narrowing margins in coal-fired power plants. Trading at CZK 1.6 billion of net income, which is 65% down compared to previous year. Entire Generation segment is -- and Mining in total is actually down 17%, reaching CZK 64.8 billion EBITDA. When you look at nuclear and renewable generation on Slide 11, you can see actually charts comparing first 9 months and also estimate for full year '25. We should be achieving pretty much highest level of our nuclear generation, close to 32 terawatt hours, mainly due to fuel cycle extension that is now longer than it used to be in the past. So there are years -- which is this year when we will be running nuclear units without interruption during that year, which is the case for Temelín power plant this year. And so that's an increase of -- planned increase of 7% year-on-year. Decline in renewables of 13% that I already commented on and total number to be achieved 35.1%. Electricity generation from coal is on Slide 12, pretty much in line with last year with one exception, which is steep decline in Poland. As many of you know, the first or second week in February 2025, we disposed -- finally disposed our Polish coal assets. And that's why there is no more EBITDA coming and generation, of course, in terawatt hours coming from those assets. That's why there is such a significant decline. There will be a decline on -- a little decline actually on the natural gas and a little decline on coal generation in Czech Republic, which will be about 2% lower. However, in EBITDA numbers, as you could see, it was about 60% decline. One of the most important slides is actually our hedging on Page 13. You can see 2026 average achieved price of EUR 94 so far declining to EUR 72 in 2029, but we are only 5% sold or secured for 2029. So it's a pretty material number. Same for carbon credits on the right side of the chart. And at the bottom, you can see the percentage of power sold, which means there will be significant decline in average sales price because average sales price for this year is estimated between EUR 121 and EUR 124 per megawatt hour, which is something like EUR 30 decline year-on-year, which is pretty significant and will definitely be seen in our sales numbers and EBITDA numbers next year. Distribution and Sales segment is doing rather well. Actually, Distribution segment is up by 75%, mainly due to gas assets that contributed CZK 8.1 billion for first 9 months versus CZK 700 million, which was a number for September 2024 because it was consolidated as of September. So CZK 7.4 billion improvement. And then on actually distribution, electricity distribution, our number is 30% better than it was last year, but CZK 1.3 billion are those correction factors as I discussed from year minus 2 and year plus 2 in total, about CZK 1.3 billion difference compared to last year. The details of Distribution segment are then listed on the slide. Another important factor is -- the most important factor, above correction factors is actually higher allowed revenue, thanks to growing investment base in distribution assets. Year-on-year development of electricity and gas distribution, electricity distribution on CEZ Distribuce territory is up by 1% in total, basically a little change. Residential customers are somewhat higher, but this is mainly due to climate. When you actually adjust for climate, it is a decrease of 0.2%. And calendar, if you adjust it for a number of days, it's decreased by -- it's increased by 0.3%. So pretty much steady distribution numbers. Gas distribution increased by 9%. Climate-adjusted consumption only by 1%. So it is colder winter '25 than '24. Sales and EBITDA -- sales segment EBITDA in total, actually CZK 10.7 billion, which is 67% improvement. You can see the details in CEZ Prodej, which is Czech retail business, 84% improvement and then ESCO companies in various countries. A few -- there were a few positive effects influencing CEZ Prodej, our retail business, one of the most important half of the difference actually -- most of the difference actually, full difference is lower cost of commodity acquisitions and lower cost of deviation, thanks to the market stabilization after it was deregulated. So that's the main chart here. On Page 18, we have volume of electricity and gas sold and number of customers. So electricity sales went up by 1%, gas by 16%. Number of customers is basically steady. We lost a little in electricity being dominant player and gained 5% actually in gas business. So in total number of customers is pretty much not changing. Their customers are much less involved in changing supplier than they were before the crisis when many of the smaller companies or even large companies went bankrupt and they had to switch to different suppliers under a fairly stressful conditions, I would say. Revenues from sales of energy services, meaning ESCO. ESCO activities are actually 8% down, but we expect them to be pretty much in line with last year or only 2% down, mainly because we had a few kind of big significant projects last year -- that were invoiced last year that did not repeat themselves now. However, organic growth is fairly reasonable, and that's why there is -- we are able to make up actually on a full year basis. And that's all for the presentation. And now I think we are ready to take questions.
Martin Novák: [Operator Instructions] So the first question comes from Emanuele Oggioni.
Emanuele Oggioni: The first one is on the distribution EBITDA guidance for 2025. We have seen another increase after the increase in the guidance in H1 for this business unit. So basically, from the beginning of the year, the change would have been between CZK 7 billion and CZK 9 billion. Now it's between CZK 12 billion and CZK 13 billion, so more than 50% compared with the start of the year. So probably you explained this in Slide 30. So if you could add more color on the Slide 30 and this incrementally positive distribution factor is repeatable or not in '26? And what is your expectation on '26 about this business unit as you exceeded the guidance, the original guidance to a large extent in '25. So the question is not only an explanation on '25 based on Slide 30, but also about the outlook on 2026. This is the first question. The second is on the guidance on sales, EBITDA sales. Also in this case, there is an increase -- there was an increase 2 times in a row. And also in this case, the question is if the positive drivers, the positive moving parts, which lead to this increase are also valid and visible for 2026. So we can expect structurally higher profitability after a stronger-than-expected profitability in '25 also in 2026. And the third and last question by my side for the time being is on the generation business is on the development of the data center market in Czech Republic and also in Central Europe because you are related -- that the power prices is related also to the power price of Germany. So the question is if -- what is the situation as regards to development, the projects of data centers in Central Europe and obviously, in your country. And this could change in your opinion in the midterm, obviously, not in the short term, not in the next quarter or next year, but could change something embedded to sustain the electricity prices in Central Europe, thanks to the development of data centers.
Martin Novák: Distribution, as you rightly noted, there is a significant increase in distribution segment, and it's mainly due to acquisition of GasNet, which is actually natural gas distribution on the Slide 30, which is in appendices just because it was basically we did not consolidate. We did not own GasNet first 8 months of 2024. So that's why there is such a huge move. In electricity distribution, it is improvement of CZK 4 billion to CZK 5 billion compared to last year. Half of it is investments, CapEx actually increased asset base from last year's actually of investment and the rest are correction factors that 1 year go in your favor, next year, they go against you. Now actually, we have a positive effect of CZK 1.3 billion, out of which half will have to be returned in 2027. So in 2027, there will be a negative impact of something like half of this CZK 1.3 billion of this amount. So it is -- but generally, I would say that the regulatory framework, especially due to our CapEx is favorable. We would not expect other than those correction factors to decrease our profitability in power distribution in the future. However, it is a regulated business. So you don't have much space for any significant increases of EBITDA either. Gas distribution is very similar. Again, you can make certain changes, you can make certain improvements in the business. But again, it will not be -- you are not able to double the number other than through acquisitions. So of course, acquisition of gas distribution, which is actually the company that we acquired and that will be put into our numbers as of next year will bring another CZK 1 billion, close to CZK 1 billion of EBITDA next year. Sales segment. Sales segment is very strong this year. I would say that this is a really coincidence of the market conditions. Normally, we did not have that high EBITDA in the past, as you can see compared to previous year. And that's why actually for first 9 months, actually, especially so I would think that profitability might be lower in the future coming back to normal, I would say. But by how much it is, of course, difficult to predict. You can see that actually now we are 84% higher on retail which is probably something that will be hard to repeat in the future as well. And generation data centers, there is some discussion, but we really didn't see much real, real kind of projects in the region so far, especially when you compare it to other geographic locations like U.S. power price is much higher here in Europe than in the U.S. So it's difficult to compete -- we had a few contacts with potential investors, but so far, didn't really work out. And I don't know of many new kind of huge projects in this region that will really come to final decision. So let's see how it goes. But as you said, we are tied to German price plus you have distribution tariffs. So the power is not that cheap and power is actually the commodity that you need for data centers. So maybe in the future, there are some discussions. For example, if you have new nuclear units, you would be supplying data centers directly from them. But so far, we are not there yet. We have our own data center. We are planning one more. They are all within parameters of our power plants. So they are connected directly to the power plant, taking power from the plant, not from the distribution grid, but that's for our own use. So that's it.
Barbara Seidlová: We can take the next question from Oleg Galbur.
Oleg Galbur: I have several actually. And let me start with a question regarding your full year guidance for the nuclear electricity generation of 31.9 terawatts, which implies quite a high utilization, both for the fourth quarter, so almost 90%, but also for the full year, 85%. So what I'm trying to understand is what should we expect going forward on the annual basis? Should, for example, this 85% be like a new normal? Or how do you comment on that? And then a similar question on the guidance for electricity generation from coal, the 14 terawatt hours guidance implies an increase in coal generation to almost 4 terawatts in the fourth quarter. And if this is really the case, how is such an increase justified by the low, if not even negative level of coal spark spreads? And lastly, according to my calculation, the proprietary trading was negative in the third quarter and significantly lower, obviously, in comparison to the first half results. So maybe you could provide a bit more details on what has caused this result in the third quarter and perhaps also shed some light on the expectations for the fourth quarter or for the full year, again, on the trading results.
Martin Novák: Okay. So thank you for questions. Close to 32 terawatt hours, 31.9 terawatt hours is something that we will be hopefully seeing from time to time. The reason is that we moved actually from 12 months refueling cycle, which means that every reactor was at least for a few days shutdown for refueling every single year to 16- or even 18-month cycles for Dukovany and Temelín. This means that utilization oscillates between 80% and 85%, depending on how many outages fall into a given year. And utilization in Q4 will be high because there is no outage actually in Temelín planned. And it was actually -- there was actually outage of 8 weeks in 2024 -- in Q4 2024 in Temelín second unit. In 2026, both Temelín units will be -- will have planned outage, and therefore, nuclear utilization will be lower compared to 2025. It will be around 80%. So we would expect our power generation roughly of 30 terawatt hours. And then in 2027, again, there will be no outages. So it would be close to 32 terawatt hours. So our utilization now will be kind of oscillating between 30 and 32 depending which years will be hit by refueling and which years will be run without any interruption and any refueling. Second question, coal spark spread is actually not negative compared -- because we are hedging the power. So we actually sold power at those EUR 121 to EUR 124 per megawatt hour, while carbon credits were at a level of EUR 90, maybe at the time when we were selling it, so actually, the spread was very positive. And it's also important to note that our power plants are making most of the power and also heat because all of them are heat plants in Q1 and Q4. So Q4 is kind of a very important quarter because it's winter, it's October, November, December are usually very cold month. And that's why lignite plants are running at full speed at that season. So it's a seasonal business. The hedging or the trading results so far for first 9 months of 2025, prop trading made CZK 1.6 billion. In this segment, we are not only showing prop trading as such, but also revaluation of derivatives. Estimate till the end of the year is that they would make something like CZK 1 billion to CZK 2 billion more. So the trading could achieve CZK 2.6 billion to CZK 3.6 billion of results. Clearly, it is less than it was in the past. But on the other hand, we are back to volatility we were used to in the past, I mean, in the -- before the energy crisis in 2021 to '23 where volatility was easily EUR 500 per day. Today, it's definitely not that. It is -- the market has stabilized. And with volatility of a few euro cents per day, it's very hard to make a profit of CZK 20 billion as it was in the past. So I would say we are back to normal. Normally or usually, our trading was making something between CZK 1 billion and CZK 2 billion annually as a standard result in a standard environment. So that's it for me. Thank you.
Barbara Seidlová: We can take the next question from Anna Webb.
Anna Webb: Anna Webb from UBS. Hopefully, you can hear me okay. Just one question for me on the gas distribution acquisition. I was just wondering if you see kind of any synergies now controlling almost all of the gas distribution in Czechia, kind of above and beyond just the contribution from gas distribution. I mean I'm aware it's quite a modest contribution from that business you bought from E.ON, but just wondering if you see kind of synergies and cost savings for the overall gas distribution business -- as in gas distribution in Czechia, including GasNet, now you've got that kind of majority of the business. And obviously, you've now had GasNet for a year and how you see that evolving would be great.
Martin Novák: Yes. Clearly, we do. And that's the reason why actually the gas distribution was acquired by GasNet and not by us directly. It makes sense to consolidate all gas distribution assets under one company. So we would expect to have synergies from technical management of the assets, all the call centers, all the financial systems, but it's too early to say how much it will be. Gas distribution is not that sizable company, as you pointed out rightly. So there would be some synergies, but now it's too early to say. And probably given the size of our overall business, they will not be very material.
Barbara Seidlová: We can take the next question from Piotr Dzieciolowski.
Piotr Dzieciolowski: I have 2 questions, please. First one, I wanted to ask you because there were some headlines about your total CapEx until the end of the decade. Do you think -- so the question around it would be where do you think your leverage will end up at the end of the decade? And do you think you will need to revisit the dividend policy in light of this high CapEx requirement? And the second follow-up, I have, like if you -- assuming the takeover story has some legs and the government goes ahead with it and it imposes the objective on the company to do a buyback, how much of this CapEx, the total CapEx envelope is flexible that you would not need to do it? And is it a reasonable scenario to assume that you could cut a certain amount, like 1/3 of this CapEx, if there was a need to do it to facilitate some other objectives?
Martin Novák: Okay. So first question, our CapEx is [ above ] CZK 400 billion to be spent until the end of this decade. We are aiming at our target ratio of 3.5x net debt to EBITDA by then. And we should be able to make it with the projection of power prices that we are now seeing, actually, on the power exchange and also paying the dividend in the range of 60% to 80% of our adjusted net income that we are usually sticking closer to 80% rather to 60%. So all those things kind of fit the puzzle and we should have no issues to do any changes. Regarding share buyback, we don't comment at all on this topic. It was mentioned in actually proposition of the government -- of the kind of what government proposes, but it's preliminary. It has not been approved by the government, actually future government. So until it is more stable document, we are kind of not commenting on political announcements at all.
Piotr Dzieciolowski: And a quick follow-up, just a technical follow-up on this 3.5x net debt. We are talking here about the financial net debt. So we would have to assume that the nuclear provisions come on top, right?
Barbara Seidlová: Yes.
Martin Novák: Yes.
Barbara Seidlová: Okay. Next question from Jan Raška, please.
Jan Raska: I have one question about once again, gas distribution company. You indicate annual EBITDA almost CZK 1 billion. As you said, GasNet was realized this acquisition. So it means 55% effective ownership share. But I understand correctly that you will fully consolidate EBITDA of gas distribution to CEZ EBITDA.
Martin Novák: Yes, that's how we will normally do under accounting rules. And then actually in adjusted net income, we are actually taking out the minority share of net income that is attributable to 45% shareholders.
Jan Raska: So CZK 1 billion to EBITDA and then correction at...
Martin Novák: [indiscernible]
Barbara Seidlová: Okay. We can take the next question from [indiscernible].
Unknown Analyst: I just had one question more on the political side in the Czech Republic. Specifically, if you had any comments about any kind of political -- potential political interference or nationalization, for example, there were a few headlines. So any update on that?
Martin Novák: I already answered that we actually don't comment on any political pronouncements until they actually reach our doors, which has not happened. So that's all we can say.
Barbara Seidlová: And we have a follow-up question from Oleg Galbur.
Oleg Galbur: Yes. Two shorts, first of all, on the CapEx, could you please tell us what level of CapEx in the Generation segment should we expect for the full year? And maybe you can also remind us what would be the expectations for the full year CapEx at the group level? And secondly, on the acquisition of the gas distribution company in the third quarter, could you disclose the price or the multiples that you paid? Anything that would be very useful. And more of a general question. So you mentioned in your presentation that the -- due to the declining power prices, you expect also a negative impact on your EBITDA. Probably the lower generation in the coal assets due to a gradual phasing out that will also have a negative impact in the medium term. So my question is, what is the strategy or what are the measures that you are considering taking in order to at least partially offset the impact of this development on the generation business earnings?
Martin Novák: So first, thank you for the questions. So first of all, CapEx. Full year CapEx is now estimated at CZK 60 billion, out of which power generation would be close to CZK 34 billion. Then mining, close to CZK 2 billion, distribution about CZK 19 billion, sales about CZK 6 billion. So this is around CZK 60 billion in total. So it's less than originally anticipated. So far, we spent close to CZK 39 billion. Usually, fourth quarter is pretty strong in spending CapEx. So we assume that we will be able to do that. Price for gas distribution is not announced. We agreed with the buyer -- with the seller that it will not be announced until we close the transaction next year, and then it will be properly reported. And third question was on.
Barbara Seidlová: What can we do to offset the decline in generation.
Martin Novák: Decline in generation. Well, we will be, of course, offset it through future projects and entirety of our business, but how we will actually deal with coal assets, we will definitely decline power generation. It will be run for following few years in kind of winter/summer mode of operations. So winter, it will be running, providing also heat as an interesting byproduct. In summer, it will be running much less. And towards the end of decade, those power plants will very likely be decommissioned together with coal mining activities. And generally, as a group, of course, we are concentrating more on services like ESCO activities, which will be growing distribution assets, for example, through acquisition of gas distribution and growing our distribution EBITDA and of course, replacing coal heat plants with gas plants and all the renewables and all those projects.
Oleg Galbur: Okay. I was asking the third question, also in light of your comments earlier today in the press conference, at least this is what Bloomberg is writing that although you expect the lower prices to negatively impact EBITDA, you are quoted here saying that -- but on the other hand, some other acquisitions could take place, so things may look different. So I was also expecting maybe some more comments on this statement, if it's possible.
Martin Novák: Yes, I think it's probably what we can say now, but that's what it is.
Barbara Seidlová: Okay. Now we can take a question from Bram Buring from Wood & Co.
Bram Buring: Two questions, please. The first, I guess -- well, the second, but related to the previous comment, acquisitions in distribution assets, you're kind of full up in the Czech Republic, if I'm not mistaken. Are you potentially interested in acquiring abroad? That would be the first question. And the second question, again, you've already sort of touched on it, but I'm thinking about coal generation for 2026. Will the margins allow you to produce what are we -- should we be looking for closer to 10 or closer to 6 for 2026 in the coal generation?
Martin Novák: So you are right in the gas distribution, I don't think we can get more in the Czech Republic. On the other hand, we are not looking at foreign gas distributions. I think we already kind of divested actually power distribution companies abroad in a few Balkan countries. And gas distribution is interesting for us for a few reasons. First, it's in our home country where we have the same regulator for power and gas. So we are able to actually bundle the negotiations together. We also have a side effect of building a fleet of CCGTs and gas-powered heat plants where having an access to gas grid definitely helps in terms of gas connection. This is something we would not necessarily do abroad. So we are not looking abroad at gas distribution. And then power plants, it's really hard to say what will be power generation of power plants now. I think we'll announce it actually in our March press conference where we'll be announcing what will be our EBITDA expectations and power generation and so on. So it's March information.
Barbara Seidlová: We can take the next follow-up question from Jan Raška.
Jan Raska: No, no. No question.
Barbara Seidlová: Okay. So then [indiscernible].
Unknown Analyst: My question is regarding the energy price curve. Do you think that the current curve may be too low? For example, if we assume that CO2 prices would rise, even if we assume that gas prices will be lower in a few years. So what are your expectation on the future electricity prices?
Ludek Horn: Okay. I will take the answer from a trading perspective. We expect that gas prices will go down, as you mentioned, in midterm future, connected with, let's say, oversupply of U.S. LNG and so on and so on. But it's hard to say how it will be converted in electricity prices in Europe because the plants -- coal plants and gas plants are, let's say, not marginal plants as it was before so often. So maybe even with higher CO2 price, we will have on average lower electricity price. So there are different scenarios how it could look like, but it's hard to say how it finally will be.
Barbara Seidlová: Okay. We can take the next question from fixed -- from a telephone line, starting with +33.
Arthur Sitbon: Yes. This is Arthur Sitbon from Morgan Stanley. Yes. Apologies, the raise hand was not working on Teams. So yes, my question was about the outlook, well, beyond 2025. I imagine it's a bit too early to give precise guidance for 2026 net income, but you did share -- you did make some comments. You made some comments around the fact that in distribution, distribution EBITDA is currently higher than its normalized level. You also flagged the fact that realized power price should come down on the Power Generation segment in 2026. But on the other hand, I know there is the removal of the windfall tax. So I was thinking overall, well, first, are we missing any key moving parts in EBITDA and in profit for 2026? And second, I see consensus a significant growth in net income in 2026 versus 2025. I don't know if you can be very precise, but is a significant pickup in net income in 2026, something that you're comfortable with?
Martin Novák: So you are right. You actually named it all. I think it is significant decline in power prices. I think one of the most significant declines we have ever seen in the history, EUR 30 per megawatt hour year-on-year is quite a lot. Then we will have lower generation on nuclear plants because this will be -- 2026 will be the year when we will be actually refueling Temelín power plant. Then correction factors in distribution, yes, probably lower sales results because of kind of getting back to normal on the sales side. And against it as a big positive is windfall tax to be discontinued that this year in 2025 will hit our P&L, it's CZK 31 billion to CZK 34 billion. However, I cannot really comment on 2026 numbers yet because they are not out yet, and they will be in March. But I saw some of the estimates of net income for next year. And I think they are kind of not taking into consideration those negative factors as much as they should. So that's all I can say.
Barbara Seidlová: Okay. It seems it was the last question. Therefore, let me conclude this call. But as always, Investor Relations is always available if some further clarifications are needed. Thank you very much, and goodbye.
Martin Novák: Goodbye.
Ludek Horn: Bye-bye.